Operator: Good morning. This is the Chorus Call conference operator. Welcome, and thank you for joining the Third Quarter 2025 INWIT Financial Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Fabio Ruffini, Strategy, M&A and Investor Relations Director of INWIT. Please go ahead, sir.
Fabio Ruffini: Good morning, everyone, and thanks for joining us. With me today are Diego, INWIT General Manager; and Emilia, CFO. Before we begin, allow me to draw your attention to the safe harbor statement on Page 2. As usual, following a brief presentation, we will be happy to take your questions. Over to you, Diego.
Diego Galli: Thank you, Fabio, and good morning, everyone. It's a difficult day for INWIT shares following the updated growth expectation in the '26-2030 period. It's important for us to answer the key questions you may have and lay out the priorities going forward. We expected to grow at the low end of the target range with revenues at about 4% compounded growth rate, more than 50% of which is contractually committed via inflation and Anchor MSAs alone. The update impacts noncommitted sources of revenues, densification outdoor and indoor, which are postponed. We are also factoring in slightly lower 2021 inflation, up 1.5%. We acknowledge the difficult market environment with protracted financial challenges of Italian telco sector, focused on maximizing efficiency, limiting investments to the bare minimum. In the previous outlook, we implicitly assumed that over the course of 2025, there would have been initial signs of an improved market structure following transformative transactions in 2024. This improvement has yet to materialize. Having said that, Q3 results confirm the resilience of the business, expanding all industrial and financial metrics while investing in critical infrastructure from NextGenerationEU in rural areas to Roma Smart City. Today, it's also important to affirm the structural outlook for digital infrastructure investments in Italy with a need to catch up since infrastructure investments cannot be postponed indefinitely. INWIT plays in a concentrated market with high barriers to entry, holding 2 competitive advantages, the best assets and locations in the market and a true industrial approach to deploying assets from the ground up. In this market context, we are conscious of our role as an enabler of investments and a driver of efficiency for operators, facilitating densification through sharing economics. This will be even more important in case of additional coverage obligations currently being discussed, linked to the extension of mobile frequency post '29. Moving to main trends of the quarter on Page 4. The key figures for the quarter, revenue growth by 4.1%, EBITDA after lease up by 4.4% with margin up 73%. Recurring cash flow up EUR 170 million with 69% cash conversion. In October, we completed the first tranche of EUR 300 million share buyback and successfully issued the company's first sustainability-linked bond. In summary, INWIT continues to be resilient in a challenging industry environment, acting in a proactive way on the levers under our control already to facilitate further network densification. Now I will turn it over to Emilia for a more detailed review of the results.
Emilia Trudu: Thank you, Diego, and good morning, everyone. On Page 5, the focus is on new towers. Q3 displays a continued high volume of new sites, 180 across 2 programs, MSA commitment for TIM and Fastweb-Vodafone and the 5G NextGenerationEU program, where we are on track with the milestones. New towers are expected to continue to be the main network requirement of our clients due to data traffic growth, increasing capacity needs, the transition to 5G in suburban areas and the need to cover approximately 9,000 kilometers of roads and railways currently lacking adequate quality connectivity. Moving to total costs on Page 6. 670 new PoPs were added during the quarter, bringing the total 9 months figure to more than 2,000. This is consistent with full year target of approximately 2,500 new PoPs. Of the new additions, 260 PoPs were delivered to TIM and Fastweb-Vodafone and 410 to other clients, further diversifying INWIT's client base. Within other clients, we recorded steady pace with other MNOs, Iliad in particular, stable adds from FWA and solid demand from utility companies for IoT gateways for smart grid applications. Next, on Page 7, we review smart infrastructure. Revenues in the first quarter were up double-digit year-on-year to more than EUR 22 million. Growth was driven by the addition of 30 new DAS locations across multiple verticals and higher tenancy ratio across the more than 700 locations we serve. INWIT covers a growing portfolio of critical infrastructure assets. Latest additions include the Roma Smart City project, one of the largest in Europe, DAS and tunnels for the upcoming Winter Olympic Games between Milan and Cortina and international corridors connecting Italy to France and Austria and Germany. Looking ahead, demand for dedicated indoor connectivity is expected to remain structurally solid across verticals, including transportation, hospitality, healthcare and leisure. As you know, revenues come from 2 client categories: MNOs based on their ability to fund additional coverage projects via recurring fees and location owners where demand is solid, though primarily based on project-based revenues. Next, we review the P&L. Revenue growth stood at 4.1%, in line with the 2025 guidance midpoint. The drivers, as mentioned, were new PoP additions for Anchors and OLOs as well as double-digit growth in smart infrastructure and inflation at plus 0.8%. EBITDA margin remained stable at 91.3%, while the main efficiency lever continues to be lease costs. 360 real estate transactions in the quarter supported EBITDA after lease's growth of 4.4% and margin expansion from 72.8% to 73%. This partially offset the impact on cost of inflation and the higher asset base for which we pay lease costs. Lastly, net income increased by 5.9% to EUR 92 million, reflecting the expected trends in D&A, stable interest expenses and taxes. Moving to the cash flow on Page 9. Recurring free cash flow amounted to EUR 170 million in the quarter or 69% cash conversion. In the quarter, we recorded limited recurring CapEx, no cash taxes, which are due in Q2 and Q4, positive net working capital in line with full year '25 guidance. Lease payments were higher year-on-year, mainly due to the end of the VAT split payment mechanism. This is in line with full year expectations of about EUR 215 million lease cash out, including the effect of VAT split payment. Reported leverage stood at 5x net debt to EBITDA, reflecting the completion of the first tranche of EUR 300 million of share buyback plan with approximately EUR 180 million in the quarter. Additionally, we're pleased to report that in October, we completed 2 debt capital market transactions with the first sustainability-linked bond issuance and the partial buyback of the 2026 outstanding notes. This further strengthened INWIT's debt structure, extending its maturity profile and confirming solid market interest. With this, I hand it back to Diego. Thank you.
Diego Galli: Thank you, Emilia. On Page 10, the updated expectations for 2026-2030. Growth sits at the low end of the range with an impact of about EUR 15 million to EUR 25 million progressively versus the midpoint revenues. This is driven by the lower expectations for non-committed revenues, mostly densification projects indoor and outdoor, which we expect to be postponed or reduced by our main clients. As you know, we invest on the basis of committed revenue streams, so a project postponement also means a delay or reduction in CapEx. This impact is partially factored in, in our updated leverage guidance. Together with a mix and phasing of industrial KPIs, there will be a more granular update with full year '25 results. Through 2030, we expect to deliver 4% revenue growth per annum, of which more than 50% is contractually committed, and progressive margin expansion and leverage reduction. Committed revenues come from inflation, more than 9% combined over the next 5 years, MSA contracts, particularly new PoPs on new sites and the solar energy projects and all this provides a contractually secured path to growth. Non-committed growth is less than 50% of total growth and comes from OLOs and additional densification revenues, both outdoor and indoor. Today, we are also confirming the dividend policy and capital allocation announced this past March. A few concluding remarks in the next slides. Today's presentation reflects an updated macro and industry view, stemming from current industry challenges. In this context, INWIT is expected to grow at 4% for revenues and 5% for margin. In any case, we continue to believe on the structural outlook for digital infrastructure in Italy, which is confirmed there is a need to catch up, which is an opportunity. INWIT continues to focus on all levers under our control, both on revenues and costs, affirming our role of an efficiency driver for operators, facilitating densification through sharing economics. With this, I thank you, and we are now ready for the Q&A session.
Operator: [Operator Instructions] First question is from Roshan Ranjit, Deutsche Bank.
Roshan Ranjit: I guess my question is around the evolving Italian landscape, which is something I think you've talked about now for the last few quarters. And if we think across Europe, what we've seen is where markets have evolved, there has been these behavioral remedies and the want for further densification of networks. So I guess my question is, how easy is that to apply to the Italian market given the already high tenancy ratios and also the kind of more restrictive EM limits, which whilst we have seen the rules change, we haven't actually seen any practical changes in the emission limits leading into kind of more PoPs in smaller areas. So anything you could say around how the evolving MNO landscape can benefit you even though that visibility is maybe a bit more limited than before?
Diego Galli: Thank you, Roshan. Yes, I think that the key point is that in Italy, the digitalization and 5G rollout is behind all peers and European and international standards. There is a need to catch up. And this is recognized by all operators in the market. So there is a significant need for additional densification, both outdoor and indoor. This need currently goes -- can I say, is not materialized because there are financial constraints in terms of budget limitation and return on investments. We think that the market has evolved already in 2024 in the right direction. That's not been enough to continue to evolve towards a more sustainable market. And also, let me say, initiatives and the consensus around the new license renewals in 2029, which there is a scenario where the renewal is at no limited cost against commitment to invest, these kind of things do recognize the need to invest, do recognize the need for a more sustainable industry and go absolutely in the right direction. In case of densification, our role is clearly to do it in an efficient manner through the sharing economics and through the industrial capabilities. So in short, the market is behind the industry. There is a need of densification and INWIT is a key player to benefit from it building in an efficient manner, shared infrastructure, outdoor and indoor.
Roshan Ranjit: Great. If I could just follow up, you -- I think you -- in terms of the densification, you've kind of given this target, I think it's 2.6x by 2030. So is that -- does that require an easing or further easing of any regulation? Or is that under the current regime?
Diego Galli: Yes. No, there is no impact from regulation. This is consistent with current regulation.
Operator: Next question is from Fabio Pavan, Mediobanca.
Fabio Pavan: I would have first a follow-up on what you were saying, Diego, about the renewal of the license. So do you have any visibility on how long this discussion may take? Do you have already managed to discuss with regulators about this potential new scenario? And then the question is, clearly, you have managed to derisk the target and providing us a very solid equity story. What could be, if I may, upside from here in your view? So higher demand, which at some point, given 5G stand-alone coverage is very low rather than deciding to speed up in capturing opportunities in adjacent businesses. So it's open question, I leave that to you.
Diego Galli: On the frequencies on the licenses, discussions are ongoing. I think there have been, let me call, public declaration from the regulator, which have been supporting the scenario. So I think there is a process on forming an overall consensus on this scenario that, again, from our perspective, makes a lot of sense to the benefit of operators and the entire value chain, the entire industry. In terms of upside, yes, I think that the updated guidance reflects timing in the development of the industry towards what we just call more densification. That means higher demand, higher number of new towers to densify -- to cope with the additional capacity needs and the additional data traffic in urban areas, additional towers to densify the suburban areas as soon as 5G stand-alone advances and new towers and dedicated coverage for the transport corridors, rail and roads where the quality of connectivity is clearly requires strong improvement. On top of that, indoor, there are thousands of locations where connectivity is not up to the use of data and digital needs. So that's, I would say, is the industrial key upside in terms of higher demand from the operators to deploy a digital ecosystem to advance on 5G and this again means more towers, more point of presence, more inter coverage. That's our core business that in these days, we do see under pressure because of the budget limitations. But going forward, we do see that investments cannot be postponed forever.
Operator: Next question is from Rohit Modi, Citi.
Rohit Modi: Some of them have been answered. So just one question, basically clarification on the committed revenues baked into the guidance. If I remember correctly, at start of the year, you mentioned more than 60% of the guidance is based on the committed revenues you have with the operators. Now slide shows that it's more than 50%. Just trying to understand if there's any change in terms of your committed revenue profile there.
Diego Galli: Yes. No, thanks for the question. Yes, we -- the committed revenues made up of inflation and the MSA agreements continued as planned, and that's more than 50% of the overall growth. Where the -- we have updated our view is on the noncommitted bit that, again, is related to the to the densification, so the additional point of preference, both outdoor and indoor. In the business plan, in the guidance, we had about 1,000 additional towers, which were not committed. We think that, that is the bit that will take more time to materialize. And by 2030, we think there will be probably around 400 towers less, and this accounts for about EUR 10 million. On top of that, the outdoor -- the indoor densification, we have been developing this market growing very fast. But again, there are budget constraints from the operators at this stage, and we do expect the remaining bit to come from lower indoor location. We would expect that about 20% lower location compared to the March guidance. So these are the 2 main bits, towers and indoor cover solution projects.
Operator: Next question is from Andrea Devita, Intesa Sanpaolo.
Andrea Devita: So my question is basically on the change in FY '30 guidance because at the end, I clearly understand that on 2026, you have visibility of lower revenues. But I just want to understand whether you just applied, let's say, a mechanical new baseline for 2030, assuming that no catch-up eventually takes place. So 6 months ago, you had visibility on 2030 and now it is lower. Just whether it is structurally or you now do not assume that any catch-up, which should have taken place in 2025 will not take place ever in the next 4 years?
Diego Galli: Yes. Yes, I think that as I shared before, what is -- we strongly believe in the need for investments in the sector, in the industry, which has been under-invested for a long time, and that's not only our view. This is the view overall in the market, in the industry as reflected in statistics. The industry has been under pressure and is under pressure in terms of financial return, and that has reduced the investments. In 2024, the industry has started changing with the telecom separation, the Fastweb-Vodafone transaction. We think that overall, the industry has gone into the right direction. And our assumption was that already starting from the end of 2025 with the impact in 2026, there would have been an acceleration of investments. Now talking with customers, in terms of commercial discussions, planning the next year activities, the rollout plan, securing locations that's clear that the emphasis on -- from the customers is on efficiency. So there is still a short-term focus on recovering efficiency on optimizing cost. And clearly, our growth is reflected in rental fees to customers, which means additional OpEx for customers. And this then faces the budget constraints of our customers. So the fundamentals are -- and the fundamental needs for additional investments are confirmed from our point of view. The timing is different. And this impacts for sure by 2026. But then we think that the -- I can say the phase, the timing for the development will take anyway a little bit longer. We don't see at this stage the view of an acceleration, which will compensate the initial shortfall. So in short, term impacted by budget limitation, medium, long-term growth with potential upside to what we have embedded in the current guidance update, growth coming from densification outdoor and indoor.
Operator: Next question is from Oba Agboola from UBS.
Obaloluwa Agboola: Can you hear me?
Fabio Ruffini: Yes.
Obaloluwa Agboola: Just on what you're hearing from customers, you mentioned customers are looking to be more efficient, so postponing investment. Are you hearing anything in terms of potential renegotiation of contracts? I know this is something Fastweb-Vodafone mentioned on the efficiency side. So just any update on how you see that?
Diego Galli: Yes. We -- Clearly, we continue to talk with customers on recurring on an ongoing basis. We believe the MSA is a strong contract, creates value, has been creating and creates value for all parties involved. So we are very happy to continue to discuss with customers about potential development, additional investments to create value for all. And on the basis of additional investment cycle, we -- our mission is to create efficiency to make most -- the best effort, again, to be efficient and to share the benefits of efficiency with our customers. So that's our focus. The MSA is -- the MSA.
Operator: Next question is from Fernando Cordero, Santander.
Fernando Cordero: It's basically related on the guidance, and you have been updating to the low end of the previous revenue guidance. And this low end is falling to the rest of the main lines of the P&L. And what I'm a little bit or what I would want to understand is why you have maintained the EBITDA and EBITDAaL margins in your updated guidance despite the fact that, for example, in the third quarter, we have seen the operational leverage in your business slowing a bit, particularly on EBITDAaL side. So in that sense, are you reflecting in the updated guidance any increase -- any effort increase in buying land? Just to understand why the update on revenues is not impacting margins?
Diego Galli: Thanks for the question. Overall, on the cost side, we continue our plans. And overall, the real estate programs and activities are on track. There is -- in the quarter, there is a specific topic in terms of comparison against last year same quarter. But overall, the ground lease cost is on track. Therefore, we are confirming our view on that.
Operator: Next question is from Giorgio Tavolini, Intermonte SIM.
Giorgio Tavolini: Two questions, please. The first one is on M&A. In particular, we recently heard about rumors on a potential tie-up between Iliad and Wind3. But more in general, we know your position regarding consolidation, which is a neutral to positive event. But I was wondering if you can add more color on Cellnex remarks regarding the fact that this kind of consolidation may temporarily weigh on tower growth cash flow due to the higher flexibility granted to the operators during the integration phase. So in the very short term, should be negative event then in -- over the long -- medium to long run should be pretty positive given the more investments and more network upgrades and better financial shape of the merged entity. The second question is on 5G stand-alone. Is it to assume to expect that the near-term investments from the MNOs will mainly prioritize active equipment upgrades on existing sites rather than, let's say, new passive infrastructure, new sites for the network densification?
Diego Galli: Thanks, Giorgio. Yes, on potential consolidation, I think that the consolidation is a mean to get to a more sustainable industry structure and to enable and abilitate additional investments. So yes, I believe that the consolidation making the market more sustainable will drive additional investments. And so there is a positive impact on the overall value chain, including the tower companies in terms of additional infrastructure. When talking about consolidation, it's also important to highlight our MSA protections in terms of all or nothing and active sharing protection. With regards to the second point in terms of active versus passive, yes, what you say makes sense. But what is important to highlight is that the active upgrade then drives the need for additional point of presence. So the sequence is quite short between one and the other. And the key point is, again, is investment for network improvement on clearly both radio active and passive. That's what is needed in the market. And we think it will develop even if a little bit later than originally expected.
Operator: Next question is from Milo Silvestre, Equita.
Milo Silvestre: I have 2 questions. The first one concerning the recent, let's say, agreement between Cellnex and Vodafone on 1k hospitalities. So here, if you can elaborate on that point and if it may have, say, an impact on your expected discretionary investments? And the second one, considering the limited investment momentum on telco infrastructure, if we may expect an acceleration in net new verticals such as data center?
Diego Galli: Yes. Maybe come back to the second part of the question, I'm not sure I fully understood. The -- yes, no, the announcement is related to a renewal agreement, and there is no impact on INWIT. Again, let me remind the MSA features, which include the all or nothing clauses and the preferred supplier clause as well. So no impact on us. The second part of the question, sorry, if you can kindly repeat.
Milo Silvestre: Yes. And if, let's say, considering the weak momentum on new tower or densification investments, if you are, let's say, considering entering new verticals such as data center?
Diego Galli: Okay. Yes, thanks. As part of our strategic plan, we have 2 potential areas of development where we think our companies can make a difference consistently with the current existing model. One of those is the edge data center, the far edge. So clearly different from the hyperscaler data center, which is a different business. But when the computing capacity is needed at the edge of the network, then clearly, we have the infrastructure, which is distributed in the country, which is connected with fiber and energy. So we have both the infrastructure and the business model, which may allow some investments on edge far data center. The second -- let me take the opportunity to mention also the second area, which is the involvement of INWIT tower companies in the active equipment as a player as a neutral host to own and run and manage the active equipment, again, to provide a more efficient operating model and to bring additional efficiency to the operators. These are 2 areas of potential developments, of potential upside for the company based on the strength of our financial position and the ability to invest and based on the industrial capabilities that we do have. So in short, yes, potential opportunities for the medium term.
Operator: Next question is from Riccardo Romiati, Aurelia.
Unknown Analyst: Just one. Given that the lower growth from noncommitted revenues probably also implies slightly lower CapEx, does this, together with the lower share price, provide an opportunity for further share buyback? And how do you think in general about shareholder remuneration going forward?
Diego Galli: Yes. Thanks for the question. We have the EUR 400 million buyback program already approved, EUR 300 million just been finalized. We have EUR 100 million for the next month. And actually for Q1 and in a few days, in a couple of weeks, we will have the special dividends for EUR 200 million. So that's the current shareholder remuneration, and that shows the way we do think about shareholder remuneration, which is a mix of dividend increase and topped up by either buyback or special dividends, and that's the way we will continue to assess the shareholder remuneration.
Unknown Analyst: And sorry, is the share price today, do you see that as an opportunity to further boost this?
Diego Galli: Yes, absolutely. I think it's -- if I may, clearly, let me say that I strongly believe the current share price does not reflect the fundamental value of the company, the solidity of the business model, the cash generation and the ability to invest and to fuel further growth. So I -- for sure, the share price is below the fair value of the company.
Operator: Next question is from Graham Hunt from Jefferies.
Graham Hunt: Just on what could see the industrial backdrop improve. Is it just -- is it that we're just waiting for consolidation really? Or could you maybe expand on other situations which maybe could see your customers expand their budgets a little bit or we could see a pickup in growth? Just trying to explore different scenarios there. And on that, we've seen one consolidation, and we are still waiting for any improvement. So just wondering sort of if you could reflect on why that is? Why are we not seeing a pickup from Vodafone-Fastweb?
Diego Galli: Yes. I think that the industry may improve across different levers. Starting from the top line, I think the pricing has been a little bit more rational in the last quarters, and that's clearly a key to support the industry a little bit of rationalization on consumer and there is the growth in enterprise, which is a significant opportunity for the telco industry to grow revenue. That's -- I think it's considering the overall digitalization environment, I think it's an opportunity which is at the beginning and operators will be in the condition to materialize in the next years. On cost and investments, let me mention that the energy cost is particularly high on the industry, and there are initiatives to support lower cost on the energy front. And the other element that I did mention before is about the frequency and the renewal of the frequency with no limited cost in exchange of investments together with additional investments and coverage commitments will be a way to support the industry to get better returns and to start the investment cycle and the positive cycles of investments, services and top line growth.
Operator: Mr. Ruffini, gentlemen, there are no more questions registered at this time.
Fabio Ruffini: In this case, thank you, everyone, for connecting. Have a good rest of the day.
Diego Galli: Thank you.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may now disconnect.